Operator: Ladies and gentlemen, welcome to the Arkema Conference Call on the Second Quarter Results. I will now handover to Thierry Le Henaff, CEO. Sir, please go ahead.
Thierry Le Henaff: Thank you. Good morning, everyone. Welcome to this conference call. With me today are Thierry Lemonnier, our CFO; Sophie Fouillat, and Francois Ruas from Investor Relations. As usual we have posted on our website as a complement to the press release some slides, which details a second quarter performance and main facts. Together with Thierry Lemonnier, we propose [indiscernible] set of results and we will then be happy to answer your questions. As you have seen from the figures which have been released this morning, the performance of this quarter is very strong, quite encouraging and is significantly up over last year. This is released at the sectary for the whole management team to the extent that this achievement is a direct outcome of our many efforts and our key decision since August last year. This is also concrete conformation of the quality of the portfolio of the company. You may also appreciate our ability to react and adopt when market conditions are working against us as well as occasion Q2 last year. Key elements of the second quarter financial performance are our EBITDA margin was back to over 15%, despite a dilutive effect of acrylic cycle margin and of Bostik acquisition. If we exclude Bostik, EBITDA was up 28%. Bostik are the promising start within Arkema. Our new business line, our specialty achieved a significant profit growth in the quarter as well as a double digit EBITDA increasing just of semester 2015. Adjusted net income was significant up plus 67% year-on-year and we had solid cash in our return with a free cash flow at plus EUR105 million as this minus 17 in the Q2 of last year. This is very strong performance result from the combination of several important positive drivers. On long term, I prepared to highlight four main elements. The first one is Bostik. What we have seen so far for that first five within that came out since really promising. The strategy putting played by Bostik for about two, three years is as we expected when announcing the acquisition bearing fruit. They also benefit from a positive currency and raw material context. The integration is going smoothly with highly committing teams and great spirit. The implementation of synergy is on track and this synergy will start to wrap up gradually into next quarter. You’ll remember that I committed as a Capital Market Day to disclose Bostik main figures every sinister, despite the fact that this is only a business line inside well of our three segments. Bostik achieved an EBITDA of EUR89 million and much in close to 11% over six months knowing that we only have five months consolidated within Arkema. So this is quite a good progression of our last year a 15% increase which is a bit ahead of our initial expectations. On the full year, we expect also a good growth of Bostik EBITDA versus 2014 which remains at one year, we take EBITDA multiple of the acquisition, it’s a simple math down to below 10 times. This performance shows our strong confidence we had when announcing the acquisition and certainly very busy equity story. For us Bostik is another significant milestone in the transformation of Arkema and we’d be in unique growth for market share. Note that the high performance material segment at last shit there while seasoning the result Bostik reached 20 EBITDA margin in the second quarter. So this is pretty strong achievement. So second positive, I want to highlight Kerteh, a new Thiochemicals platform in Malaysia. After a startup in 1Q, where our contribution was of course still quietly committed, it already achieved a solid contribution in 2Q. This financial performance was a bit ahead of our expectations, thanks to very good conditions in animal nutrition which enable to ramp up the production of intermediates for [indiscernible] we initially participated. We are not running at full capacity yet for this unit but we are not too far. There is a part of production indicated to refining and petrochemical applications is also ramping up in our reserve plants. Beyond the impact of the EBITDA and EBIT lines, we are benefitting below the line from the contribution in equity from affiliates of our 14% in CJ Bio which rent for season return of the investment. It’s an important point. You have to leave all those return when which at EBITDA line for our plant and these contribution from the 14% share in CJ Bio. We are truly pleased still on this capital investment fully meeting its expectation on this complex and heavy projects decided a long time ago four year and on which we have regularly questioned during the construction phase. We are also confident of continuing to ramp up for the reminder of the year. We can also can see, it was also one of the points where I expected. We can also confirm that fuel get regularly recovering, this is clearly not the end of the road, you have still to wait three, four years to see us coming back to peak level, that this is fully consistent with our share of step-by-step better pricing environment in certain is completed by the positive effect of some internal excellence. Beyond the benefit of Kerteh and its gradual improvement of fluorogas beyond Bostik is a whole industrial - sorry as a whole industry specialty segment has been quite strong, which grows to 90% EBITDA margin well above last year level. The last positive contributor we wanted to mention is currency evolution, which like us for every European company are helping us in particular with a strengthening of the U.S. dollar versus the euro. Note that this help will be over the course of the second semester. For your knowledge, we’ve evaluated a positive impact in currency overall the second quarter at EUR30 million. So four material contributors, they were not new one but form very material contributor to the second quarter performance. I think this validate clearly as real event of the strategic decision we have taken the best sales and also consumers our ability to manage as a same time large and complex industrial project, significant acquisition and our day-to-day operations. Beside this positive, I would like to add the strong cash generation of 2Q to pass our objective to further improve the EBIDA to cash conversion. You know 32 hours one of highlight of our recent Capital Market Day. Yet to show years of attention remain and you need to keep them in mind when considering the second semester, I would call the global metro environment which continues to grow slowly which still no evidence of growth in Europe. China started the year as below expectation. U.S. is a lead but shill housing growth in this confirmation. We grew our worldwide volume by 2% in the second quarter with the strong June after the mix April and May. This is better than Q1 compared to most of our previous history, they are also good performer better 10 point is still not completely satisfactory. Another important point regarding my current environment is that we are pretty well balanced between our two main regions, euro now representing less than 40% of total sales in fact Europe is 8% of total sales of Arkema. North America is 34%, this is why we benefit from such currency impact. It was our strong strategy to decide. The long time we go to North America. And we have now 28% in Asia of which China is 9%. This diversified geographical exposure is a stronger set and it brings us to deliver solid result in this kind of environment. Another area of attention is as you as our Acrylics, which remained in the cycle condition. And this product line is expecting to remain slow up until the end of the year. This little cycle particularly challenging in Asia was expected now and we talk about that already and in [indiscernible] for 2015. So current situation as invertedly an impact of the contribution from Bostik and Sunke in China and we know expect this contribution to be well below expectation for the full year. But this product has to be there as a long term as this kind of situation is not to called in cyclical businesses. Nevertheless important to know that the IR results of all downstream activities in Europe and the U.S. has enabled us to deliver 12% margin on the whole Coating Solutions segment, despite the contact on the upstream which is Acrylics. So this comforts our strategy of downstream integration in this segment. Finally, we expect out of three and recent development project I mean Bostik, Kerteh, and Sunke together should be on target if I put them together. There always an expecting contribution from Sunke being offset by strong achievements in Bostik and Kerteh. We now hand over to Thierry for the details of the second quarter figures. Thank you. Thierry?
Thierry Lemonnier: Thank you, Thierry. Good morning, everybody. So before looking at those figures, I remind you that all the 2014 quarterly P&L have been restated to take into account to both the new reporting structure of the group as presented during our last Capital Market Day and the IFRIC 21 accounting standard. You can find the detail of these rested figures together results of the first quarter of 2015 in the appendices to today’s press release. Let’s start now with the second quarter sales which at EUR2.1 billion, up 39% year-on-year. This progression reflects the contribution from acquisitions and the positive FX effect, while the negative price effect of 3% to a large extend compensation by a 2% volume growth driven by a strong bounce of June. At constant scope of business and exchange rate and sales were up for HPM and IS and down for Coating Solutions on lower margins and raw material pricing. EBITDA rose by more than 50% at EUR 320 million, Bostik obviously contributed significantly to this growth but even without Bostik, EBITDA is up 28% year-on-year. This strong performance is driven by the good result of HPM and IS segment while Coating solution EBITDA is stable year-on-year. And I come back in more details on the performance of these three segments. Sales and EBITDA benefitted both from the [indiscernible] but this should not hide the EBITDA margin progression at 15.2% despite the acrylic cycle and the mechanical dilutive impact of Bostik. Recurring operating income stood at EUR208 million, 60% up on last year with G&A of EUR1212 million that is EUR32 million above last year level as a consequence of acquisitions, new investment and FX effects. Nonrecurring expenses amounted to EUR66 million that include a EUR52 million noncash charge related to the Bostik purchase price allocation that is inventory step up and the additional G&A related to the revaluation of tangible and intangible asset at market price. This is fully in line with what we indicated during our Capital Market Day at the end of June. On top on that we have restructuring charges in relation to certain productivity measures. Financial results is at minus EUR25 million, it includes an unrealized exchange loss of EUR3 million and financing in your U.S. of the investment made in Malaysia and the increasing request of that due to the financing of the acquisition of Bostik. Kerteh is positive and as explained during the Capital Market Day, this is a consequence of Bostik PPA on our specific tax situation in France which led us to recognize a EUR60 million default taxes set. So together with the reversal of EUR16 million deferred tax liabilities related to the EUR50 million noncash expense that I mentioned before, we book EUR76 million tax profit in the quarter. Excluding these items and the contribution we pay on the dividend paid in cash taxed amounted to EUR 63 million representing 30% of our EBIT. The net income Group share amount EUR133 million compared to EUR50 million in the second quarter of 2014 and the net recurring results at ERU120 million that is a EUR165 per share more than 50% about its level of last year. Let’s now look quickly to the performance our three business segments as Thierry already introduced, sales of the High Performance Material segment has been multiplied by more than two at EUR 907 million with Bostik contributing for EUR180 million the quarter. EBITDA stands at EUR149 million with Bostik, without Bostik the segment that result also a strong performance significantly up year-on-year. It reflects a good performance of the specialty molecular sieves business filtration and ad sorption and improvement of Polymethyl, which was effected last year by a large maintenance turnaround in one of the sting trends. EBITDA margin stood at 16.4% excluding the mechanical due to the impact of Bostik, margin is close to 20% strongly up the last year level. For Industrial Specialties, sales were up 17% as reported by the favorable currency effects higher use and higher pricing. The segment showed another strong performance with an EBITDA up 51% on last year reported by steady performance across product lines. Biochemical realized once again an excellent performance which for the first time a significant contribution from our new platform in Malaysia. And as Thierry said, the ramp up is even a touch faster than initially expectations and we anticipate this situation to last till year end. Fuel gases continue to benefit on higher prices on certain gases and from productivity initiative. Results are up year-on-year in line with our anticipation of gruel recovery of market conditions over the year. Finally PMMA continue to deliver a higher than initially expected level of results on continuing tight MMA situation. As a consequence EBITDA margin amounts to 18.7% that is more than four points above last year level is the quarter which benefit as usual on the favorable seasonality effect. Coating Solutions performance continued to be effected by a challenging environment for Acrylics. Acrylics margins remained as expected in the continuity of those on the first quarter or at least at a low cycle level down from close to mid cycle in the second quarter of last year. However, the situation was offset by a positive effects and a good performance of our downstream activities, tax benefits and it’s good on developments and coating ratings had benefits from cost optimization and lesser margin management. As a whole and despite to unchallenging conditions in monomer, coating solutions achieved a stable performance with an EBITDA of EUR61 million and EBITDA margin of 12%. Let’s now look at cash flow which is another satisfactory refines of this quarter. Free cash flow generation is pretty strong this quarter are above EUR100 million effecting the EBITDA progression and lower CapEx at EUR87 million. For the full year, I remind you that our full year CapEx guidance of EUR450 million was raise on Euro the last set of 125 and that’s a 10 cents variation of these rates has an impact of close than EUR15 million on the total amount of CapEx. At the end of June, net debt stands at close to EUR1.8 billion. These amounts does not include the EUR47 million dividend taking cash on the 1st of July to the shareholders, we have nothing the size the option for the payments in share. So this concludes by presentation and I’ll now hand it over to Thierry for his comments on the results.
Thierry Le Henaff: Thank you, Thierry. As I said earlier this result and pleasing and encouraging for the further as I said we prefer to the main pressure with the economic environment which remains as you know volatile and certain for everyone. As I already mentioned, it continue to be a combination of positive derivatives like currencies, lower oil price and somewhat challenging one such as soft global demand rose. We are so confident get into the second half some benefits will be smaller like the currency impact with the next several France-based. There are [indiscernible] that Acrylics remain new cycle for the full year. If we now look at the expected contribution of our internal developments, Bostik and Kerteh should continue to perform well of our initial estimates. On the other hand, we would say the contribution from Sunke Asia to be well below expectation because of prevailing market conditions in Asia. These three projects combine together, this is what is important should deliver our performance globally in line with what we anticipate EBIT as the beginning of the year what we communicated to you. Into August, we expect regular improvement to continue constantly with our three, four year recovery plan which was represented as a recent Capital Market Day. And we’ll continue to focus strongly on our operational excellence initiative which delivered well in 1H and think you’ll set a significant talk of our inflation in fixed cost. All these elements will ship out certainly the Group’s growth this year and taking into account the traditional weaker seasonality as the second half assuming no significant change in the global economic environment. Our current expectation is to achieve an EBITDA slightly about EUR1 billion in 2015 which will mean a notable increase at comparable scope. Thank you very much for your attention and we are ready now to answer any real questions. Thank you.
Operator: [Operator Instructions] So we have our first question from Martin Roediger with KeplerCheuvreux. Please go ahead, sir.
Martin Roediger: Thank you. I have three questions. First on volumes, you mentioned June was strong, April, May mixed, can you tell us to which extend demand in June was least looking or underlying demand, do you see any momentum from June to have continued into July given your order books? Second question is on the MMA, maybe you can give us an update, every quarter you indicate that earnings are quite high need to go to be true and will come down later on, obviously Q2 was another strong quarter for PMMA. And in the past you mentioned that you expect in the next quarters that margin to normalize. Any clarification on that also in regard to your statement about MMA, you said that MMA is favor for you right now. I thought that you are widely backward integrating therefore you have no meaningful MMA business for the merchant business, so maybe can you clarify that? And finally on the price increases in industrial specialties as well as in high performance materials in the second quarter and this in environment where we have inflation, the lower oil price versus last year. Can you explain to me how it is possible that you can increase prices in these two segments?
Thierry Le Henaff: Okay, thank you Martin for your question. With regard to the first one, first is if you core to give specific meaning and which seems to be true since the beginning of the year that it will be touching where you have as to fell small of the quarter let’s say dread, okay even it be disappointing in volumes and sub-line is quite good, it has been the case in the first quarter and same case in the second quarter. Frankly speaking, I would not extrapolate because I think it’s just a coincidence but we’ll see if it’s going on. What is important is there were doing and it was the full quarter that is close at we have the - on the first two quarter we have to wait up until the launch really to understand the full value of the quarter. Can we say destocking of past two months, destocking the last month, I don’t know, it’s our special momentum, I don’t know what we can say that the global economic is quite moderate in terms of growth. Visibility is low, we can’t - for the second part, again a less low growth. We were finally happy to see that on the second quarter we have more NGI range appeals in terms of volume growth in 2% for us, so we consider it to be disappointing but we continue to count on a moderate growth. July is normal, there is - we don’t it has a full results but July is going normally the reason nothing special to say Bostik. With regard to MMA PMMA is more MMA which is rising the cycles and PMMA which is more, it’s downstream putting there, so it’s really in the May. I would say that we have ensured peak conditions in the past quarters, so we prefer to be consist to you and that to tell you that is going to stay forever. And to say that you can expect at a certain point some normalization which could come progressively, it’s our duty to tell it to you but there is for the time being those specific element expect the downstream which is PMMA is a bit more hot to us at the same time you have the less share which reflects what that should be seen which is a slow growth of the economy. But have to in fact that the second quarter was quite good in our PMMA, so far so good but I think don’t expect peak conditions in MMA, PMMA to say forever this year. What we told you as a Capital Market Day, I think you will we say Acrylics would normalize on the right sense and the PMMA would normalize, but going from peak to mid cycle at the certain time, it’s good. On the price increases, I think it’s - I am sure you will appreciate and it should be a positive factor in your analysis of Arkema. I think that with regard to HPM, it does lower exposure to oil based raw material as you know and the price effect is a little bit more and we told, we are not talking about high price effect, but these will be able to limit reaction to some price decrease but it has been the raw material decrease but it has been normal the rate because it’s we always expose to all based raw material in this segment. With regard to industrial specialties, is mostly as we mentioned fuel gas recovery which is you aware, we promise you that lecture you remember we had 100 of question on fuel gases and we are glad to tell you that what we say was true. This means that we would enjoyed some recovery not sure but some recovery in certain fuel gas are ready to see what we have. And also a good environment on the MMA is playing a positive factor. When you - it’s too going well. So when you put all these together we already on the good trend in the industrial specialties. I take advantage as you have question I came to tell you that industrial specialties has really achieved a shift down across that and I am proud of that. The positioning is really reflecting all our working the part years and last year we know that it has - we have suffered from industrial specialties. But we said very clearly because you set a one quarter that should need liquidity so this is always appearing and I am very glad to see that industrial specialty is showing exactly what we told that it was a very strong positioning and this quarter is really reflecting this out.
Martin Roediger: And the current - did I understand you correctly that in the last couple of months the reason why PMMA was strong was just only because MMA and not because of PMMA, correct?
Thierry Le Henaff: No, I didn’t say it was only - it’s a main driver, when we say in peak condition, the main driver is monomers not the polymers, it’s true for every chemical business where you have monomers and polymers, it driving force of the cycle is a monomer. When we say it is a peak we mean MMA. With regard to the PMMA, we say that this year PMMA is a big more challenge than last year, but MMA is quite strong.
Martin Roediger: Thank you.
Operator: So we have another question from Paul Walsh from Morgan Stanley. Please go ahead, sir.
Paul Walsh: Thanks very much. Good morning, gentlemen. Three questions please. I’m trying to understand the seasonality in Bostik please within the context of the guidance. I think typically you are a 55, 45 splits is more or less where you are pointing towards for this year, do you typically see a similar degree of seasonality in Bostik. And just on Bostik maybe a sub-question, does the savings in Bostik in Q2 are there, so the performance you are seeing right now is just year-on-year improvements and the savings are to come. And then so the question is on slower pricing, can you give me a census to what that’s happening in Q2 versus Q1 and year-on-year as well please and that it.
Thierry Le Henaff: Okay to answer your question, with regard to seasonality, we are not Bostik’s recent and we have discussed these achievement, we will confirm. Our feeling is that you have August and December, December like the similar months for Bostik and is it all came out. In August we don’t see the same, this is also to long side, the question where you keep to us came, I would say December is more or less the same story. For August, the seasonality is not as a market within Bostik for August and it is all came up. So to tell you so it’s - for Bostik is more between 50-50 and that came up type of seasonality. Okay.
Paul Walsh: Okay.
Thierry Le Henaff: That will be consumer at the end of the year that we need to learn a little bit more so we are - we forecast enough guidance if it is your question. The second semester which is less if you take six months of Bostik on the first semester which we don’t do in our account that if you take the six months we assume the second semester which is less than the first one a little bit less. On the - as the second one…
Paul Walsh: Just on flow rate pricing Q2 versus Q1 and year-on-year please?
Thierry Le Henaff: Here also the savings with regard to Bostik, we are nearly - I mean you mean for synergy…
Paul Walsh: Yes, I mean you talk in the press release about synergies are growing up in the coming quarter, can I take therefore the performance in the first half with just an organic performance rather than reflective savings?
Thierry Le Henaff: Nearly, year, nearly. See we have quietly - that we have just starting. There was a little bit better in the quarter. With regard to fuel pricing and evolution of fuel gas, the result Q1 versus Q2 and year-on-year, is mostly more than the strong evolution of pricing is not a seasonality. As you know fuel gas you have a strong seasonality if Q2, Q1 is not bad but the second quarter of this year is significantly down compared to the first part. So normally you made a big part of year is typical. You make a big part of your profitability in fuel gas on the first part of the year. But the seasonality is nothing with the pricing dynamics.
Paul Walsh: Okay, so the bottom line is fuel pricing is better but it’s not stand out better?
Thierry Le Henaff: It’s gradually better as we say to you like few years.
Paul Walsh: Okay, understood, thank you.
Thierry Le Henaff: But each in - we discuss next year. Okay?
Paul Walsh: Okay, thank you very much.
Operator: So we have another question from Thomas Gilbert from UBS. Sir please go ahead.
Thomas Gilbert: Good morning, gentlemen. There questions and a request to Investor Relations. The first question is on chemicals, can you say whether the gradual recovery is constraint to limited to the United States performance or is Europe showing signs of recovery as well is that also the June improvement, taking about is that European flow? It’s the first question. The second question, when we look at modeling the Thiochemicals projects, is the operating rate in your plant or the demand downstream in animal nutrition the key driver, or is there any leverage of the result to the methionine price or contractual agreements or raw materials that have to be pass through, just trying to understand whether the - you refer to the demand in the text, so I assume that is the key driver of the performance going forward, can you confirm that? That’s the second question. The third question and if this is this two laboratories happy to come to that, I am struggling with the purchase amortization of Acrylics, where do I find this in the release and can you give a guidance for the systematic depreciation for the Group on tangible successes and the purchase amortization going forward. And there were places whether send out the number of shares in the third quarter after the cash of the share dividend has been paid. Thank you very much.
Thierry Le Henaff: Okay, Thomas, thank you. Actually we don’t sell the last two, I think with regard to the information is the capital market EBID Thierry will give the right answers. With regard to fuel is mostly U.S. for the timing being, okay, but we are just as the stop of the recovery plan but the most driving factor of this U.S. for the timing which is also largest position, I know. With regard to who knows there was no specific impact of the European fuel oil, the monsoon was good for nearly all our businesses are, so it’s not only fuel gas, it’s everywhere and we’ve been a very, very FTU but about June. And with regard to fuel gas, we have not good specific benefit in European fuel as I told you is a recovery of fuel gas, it’s two parts, fist one is external is mostly U.S. and with regard to the internal part which is about competitiveness there it’s mostly are Europe as you with that and some different actions here. With regard Thiochemicals by definition the demand is very important and you all mentioned is right. The plant is ramping up in volumes quite as expected which is very good news especially when you know that we took the decision for your level. I think we all when you start. You have some exact in our mechanism our price of methionine, okay it is limited compared to the demand, but the reason little bit especially when the price of methionine are strong as they are today. And don’t forget also that it’s not only a plat for to deliver our product to methionine is show a plant for refinery and petrochemical and despite doing quite well, so it’s a whole project there. There is a main effect was performance of our customer which is linked with the unit price and volume. You will find it as I mentioned below the line is a result from equity, which is not insignificant because it’s a net result. So when you are - and so you have to look at the project all together and we’re happy about the two launch will be done. With regard to PPA, I think the best is Thierry.
Thierry Lemonnier: Okay, thanks. So we go very quickly on this one, you will find the detail in the capital in the presentation. It’s true that the impact on the second quarter is not represented that we go in the future because two NLs that we have as we got to inventories and the recognition of defects as I said. To make the point very simple, I can say that during the next three years we will have an impact on our other income and expense line corresponding to additional depreciation for the amount of around EUR40 million in the year. And we will have as a counterpart a positive impact on taxes of around one of this amount.
Thomas Gilbert: Thank you.
Thierry Lemonnier: Which mean by the way that during for the second half the net income on result will be negative
Thierry Le Henaff: Okay for your last question on turning to number of shares, the addition that will be the consequence of the exact size of the option. We’ll be to add 1.4 million new share which we will end with the capital of 24.4 million share.
Thomas Gilbert: Fantastic. Thank you very much.
Operator: So we have another question from Emmanuel Matot from ODDO Securities. You have the floor.
Emmanuel Matot: Good morning. Good morning, gentlemen. Great quarter, congratulations. Several questions, first regarding the acrylic cycle, is there any reason we could more optimistic for next year definitely you remain on doing that better on any improvement for 2017. Do you also exclude any denials as deterioration for acrylic? My second question is about H2, excluding seasonality of acrylics, do you expect any deterioration of some of your businesses in the coming quarters compared to Q1 and Q2. Could you also remind me the exposure to the oil and gas segment and how you transform innovate challenging market? And my last question is could you help us to quantify a slight impact on your EBITDA growth in H1 and what is your assumption for the euro in your full year EBITDA guidance? Thank you very much.
Thierry Le Henaff: Okay, so many interesting question. Emmanuel with regard to the accrete cycle, no we don’t expect deterioration, we expect we mentioned to be at the cycle. You know that our share which is - so I will give you again few weeks ago as the capital market there is to be mid-cycle in 2017, which mean that in ‘16 somewhere we should be some improvement. Now we have no crystal ball but we remained which is assumption. With regard to excluding seasonal fix, any deterioration on our business through which you know. No, we don’t see any specific. We see a certain level of continuity. Now as we mentioned you are in which is volatile which is soften like for everybody. I think we have been proven to as a right, is a right positioning, so no, maybe you see on the same is that you know that on filtration of share is - it’s a business where you is never even from that two year. So in the second semester would be less than that share but we have the strong first semester. So all together as a year will be positive, as we mentioned it would be improvement. It is showing it should be your question on oil and gas which is different end market. But with this exception of molecular see what we have - for the rest, we don’t see anything especially at this stage. With regard to exposure toward gas market, as you know it’s a super sunk and of Arkema, you find them Thiochemicals, in Polymethyl for deep sea flexible pipe. You find them in directly all identifies in the specialty chemicals, you find them in different element. So it’s 4.5% here, 4.5% there. At the end of day we have lost a little bit ground linked to the lower haul price that is not so material within the company. So we are not, if you look at this segment, I don’t think Arkema is really a good example of if it has an impact on the turning part, the situation is that she is a bit lower, so there is business loss from there. So we are not very representative and we have some good natures, we tell them to go very well but also we benefit from the lower raw material. I think all in all we mentioned many times we think that for us if you look on one side on the raw material on the other side and then what we do on certain oil and gas market, it’s let’s say to make it simple it’s more or less maybe a little bit positive, but. On the FX rate, we don’t give but you can make your own assumption. In fact there will be another quarter of gain. The last quarter we should not gain because we were already at a low point. Last year it depends on what would be the euro at the end of the year and nobody knows but let’s say that last quarter will be minimal, so it’s a short quarter. On the Q2 we had 30, on the Q2 we had 20, so it’s totally on seeming between…
Thierry Lemonnier: It’s around EUR50 million impact for the first semester which is in line with variation of these exchange rate between 177 last year to 112 another rate for this year, which is in line with what we have indicated some utility of EUR50 million or 10% variation on a full year basis.
Thierry Le Henaff: Q3 should be more close to Q1 I would say and Q4 would be minimal to give you an idea, but I am sure you have met your calculations.
Emmanuel Matot: Okay, thank you very much.
Thierry Le Henaff: Okay, thank you. You’re welcome.
Operator: So we have another question from Peter Clark from Societe Generale. You have the floor.
Peter Clark: Yes good morning. Thanks for taking the questions. The first one I guess on the margin excluding Bostik, you have pretty strong allusion with the high performance materials being above 20% , I just want check at the Group level assuming some seasonality in Bostik for the second quarter as well, the EBITDA margin is over 16%. On the Sunke run rates obviously Q2 with a cycle though it looks like the run rate now is $70 per annum and obviously you’ve guided that this can remain pretty low for the year. Just wondering what’s happening on the ground with the plant running up sort of utilization I would guess, I know a lot of it reflects pricing but also reflects a very low utilization on the plant? And then finally on the Malaysian plant which is ramping up nicely, I think your guidance was around had two thirds effect with the ramp up this year on the annualize sales which I seem to remember was $120 million, you are seem to alluding to the - you might actually be ahead of that given the success so far, so just a check on the three points? Thank you.
Thierry Le Henaff: Thank you Peter for your question. With regard to your first question, we have result Bostik close to 16 a little bit below, but is clearly a nice recovery compared to last year, so I really fully on time. With regard to Sunke, to it simple, don’t take any contribution this year, it will make your life easier. What is important is at when you are - come back also to your last question, what you at Bostik, Sunke because more or less with some qualitative guidance you had an idea what we could do this year taking the three big growth for Sunke, Kerteh and Bostik, okay we’ll be really fully planed with Sunke being below which Kerteh and Bostik. So this means that to answer your last question, we are not using, so we are ahead of plant of getting the country I think I said it two or three time on call is clear from our press release. I know I think now we don’t give a reason by to your question, we are not going guide plat by plat, so I think we are ready to even on the - or don’t extrapolate. For the time being, we have objective very consider to delivery to if we do bit also most of us would. But let’s do it step by step.
Peter Clark: Okay.
Operator: So we have another question from Virginie Boucher Ferte from Deutsche Bank. Ma’am, please go ahead.
Virginie Boucher Ferte: Good morning. Thank you very much. And I’ve got a few questions. In Fluorogases, do you have visibility on inventories at the distributor level, because the weather has been pretty hot in Europe in spring and the early summer, so I was wondering if it could have an impact on inventory when it lead to potential restocking in H2, and if so would we see it in Q4? My second question is on situation on molecular field, could you please quantify the EBITDA contribution in H2 last year and in H1 this year. Could you please also give guidance on corporate cost? And finally I was wondering if there had any impact from the fourth measure in Coating Solution in Q2? Thank you very much.
Thierry Le Henaff: Okay, Virginie, so completely different question. So corporate cost I will hand it over to Thierry or Sophie, I seem that for me which would be in line with what we say there is around 50 million, that Thierry will confirm this.
Thierry Lemonnier: You may some differences between quarters but on the end global amount is unchanged and our forecast is still at around EUR50 million for the year.
Thierry Le Henaff: On the next one then we come back to the first and the simple one. On the first measure, as we tell you despite so we had a few question from certain analyst on that following some pressure reach. So first of all to be clear is not a thought measure that came at site, it’s a thought measure from the supplier which is platform, petrochemical platform in the Al because they are higher to utility as a utility source, so the whole platform including the plant of Arkema was immobilized on the two months and it has - so we had double paying in - on this plan and also because it supplied is actually to make it at the end of the day because I think we have been the reactive, it has someone to Arkema that we evaluate to few million in Q2 and few million Q3, but is not material. So this is why we mostly communicate on that and we think that situation is fully under control. So to answer you answer, a few million in Q2, a few million in Q3. Then with regard filtration molecular sieves, I think we gave already a lot of information on that going, we don’t communicate by a project line inside business you need inside the business segment. So as you only think is that if you compare last year second semester and this year second semester, you will be below year just because you see the synergy which being above less on the total of the year. With regard to fuel gas fees, it’s very difficult - my experience I fell that is which is you know a complex business. Visibility is - the inventory of distributor is difficult. So we don’t know is wearing all the time, it depends on the which because you all mentioned domestic conditioning, so it depends on which product line and which end market we are taking about from our distributor. So frankly speaking, we don’t know. Our feeling will see if it is better result, you will get still this traditional seasonality where our fuel gas is significantly weaker in the second semester than in the first semester as every year. So that thing is special there. And you that world is a world, so you have Europe, you have Asia, you have U.S. altogether, I am not a believer of that, you have especially hot summer or cold summer, it depends on which country we’re talking about. So we don’t - so we have not taken any special assumption for that to be clear.
Virginie Boucher Ferte: Okay, thank you.
Thierry Le Henaff: Thank you, Virginie.
Operator: We have another question from Andrew Benson from Citi. Please go ahead, sir.
Andrew Benson: Thanks very much. I am exhausted all these questions, but just a couple of minor ones. Can you define if you can so raw material cost benefit in positive whether there is a so some sort of not exiting an exceptional guiding whether the trends are better because of that and there is may make is passed on, taking it within the industrial sectors which there is an essentially better than I was expecting out of - I imagine the market is well. You talk about MMA your payment might being above trend and Thiochemicals also having a strong start on with a pricing contribution. Can you - is there any element of if you like exceptional gain was in that total or should we, I mean you talk about MMA peak cycle. Is it just to mention what - if you know the sustainable level of EBITDA as a post what you actually achieved? Thanks.
Thierry Le Henaff: Okay, Andrew. So again a good question. We have Bostik when which also high, I don’t is free to say your question is to say when we communicated Bostik growth, we say that our feeling would be that we ill growth in average for the next few years a 10% EBITDA, okay. If you take 158 over last year, the 25 of 2017, we gave a quite focus, it was even 9%, okay. So if we assume that they online on that which is reflecting a strategy and our synergies coming up step by step. And remaining of the 15% okay the different between this 9% and the 15%, we could say that put together this is raw material and currency. This is one way to look at it, okay. With regard to industrial specialties, first of all I would like to say that in fact the fall lines has been good, is not only fuel gas and Thiochemicals, isn’t PMMA but also - we had four lines which have performed quite well, so this really a some of different amount. So only but this as whole because as a whole portfolio because maybe some of you have been so please about the quality of the reason that can wonder there would be some one-off element positive or if so it’s clear that the EBITDA evolution is completely cleaner, so there is no specific one-off section right them what they were that would be an EBITDA something which we disappear or whatever. With regard to MMA PMMA is that as we mentioned and I would not again confirm in detail is that MMA is at the peak, okay, so it will not stay at peak for 20 years, so maybe as longer is better for us, but it’s still at peak, so it will come back to the cycles on there the question is why, okay.
Andrew Benson: Alright, okay, thanks.
Operator: So we have another question from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, thanks a lot for taking my questions and congratulations on a great results. I was just had several, one of fuel gases, when you were talking about 100 million of incremental EBITDA as conditions improved, I was just trying to understand how the Chinese dumping European and U.S. markets is effecting this 100 million. Does - is there any interventions required from of the European and U.S. authorities to actually get to this level of profitability or when you have given this guidance not part of the numbers? I also I know that there is this litigation in the U.S. about Chinese and dumping do you see something similar to Europe and which is going on? And the last one is on second part of Sunke and this season making process, because you said you will decide by the end of the year, but just trying to understand what - why you postponing then - of the year and how is the visibility road change or - yes so basically what will influence your decision? Thank you.
Thierry Le Henaff: Okay, with regard to the Sunke, we don’t saw little bit and - but it’s smart question for the Capital Market Day where we give the full explanation of that. So - and we are not going to give the detail element by element of the 100 some will give surprise and would be negative surprise but at the end of the day we are quite confident to deliver them. Doing that for 2017 is 80, we say on Market Day, so one of the road is on fall, okay. And it’s a mix combination of internal and external and on standard you have some impacts organization of on the pricing but you have also some rebound of the cycle of pulling the initial foundation of the trust what you have maybe at the end of the day to get there, some of 12 elements, okay which make us comfortable also because we know that some will be better, some will be less et cetera. But I think you should take back the presentation of the Capital Market Day you have many answer to your question. Okay. With regard to the litigation in the U.S. there is no similar movement in Europe, which regard to Resins. Resins there no, so the option you - we have time to exercise so we take the footstep I don’t see why we should decide before as long as we see - we have erosion which is all option. So I think now what will be influence of decision plenty of elements because this one being as a current cycle let’s say all the elements that you know are you know that last year you had same question, everybody has the same question, I think we have taken away decision as the market have appreciated. We see what we do at the end of the year. We have up until early January to decide.
Unidentified Analyst: And you don’t have an option to postponing in?
Thierry Le Henaff: But we have no option to postpone again. Okay?
Unidentified Analyst: Thank you.
Thierry Le Henaff: You’re welcome.
Operator: So we have another question from Laurent Favre from Bank of America Merrill Lynch. Please go ahead.
Laurent Favre: Yes, good morning, all. Just very quick ones housekeeping if I may. On the FX side, I think the numbers you’ve quoted really look and sounds like translational impact if I remember from previous calls with - Thierry, I think you indicated another time that 2015 transactional exposure was actually hedge and severable rates. So I am just wondering can you talk about how and when those hedges are going to roll there and therefore why don’t you think that you get a better impact in absolute terms in the second half than in the first half, so is it all for 2016? So that’s first question. And then the second one, then asking for guidance on the plan by plan basis, can you just tell me what is the mechanism to get the - as you tot compare to net income from the side, so the 5 million in Q2 into cash flow for you, is that dividend policy that you have agreed with CJ or is cash going to be reinvested on the ground. I know it’s only 5 million but sometime it’s actually becoming a decent number? Thank you.
Thierry Le Henaff: Thank you, Laurent. So I would say - but Thierry can compete for the dividend which is agreement that equal dividend distribution. And with regard to the FX rate, we have covered all along the year or bit more in the first semester than in second but we have also covered in the second semester. And in fact what we say is that because we have be on the translation, we have still a little bit of production as you know effect the coverage offset production not big, Thierry because he said whether that rate hedge.
Thierry Lemonnier: On the two point on the first think as regard to CJ, the impact on the P&L is the equity lines and it is independent underway the cash is going back to us. And on the cash flow statement on the opposite the net impact of CJ is dividend, so you too way to look at this participation, one in the P&L and the second in the cash flow statement. So on fix, yes one of the reason why we have been very cautious on the transactional impact, is relative to the edging that we have done in the first half of the year. However the second half of the year will benefit for the loss of LIBOR rate which means that - so net impact will be limited and in the second - first half that in the same time activity which has been covered is going way also, so the net impact will be not every significant.
Laurent Favre: Thank you.
Operator: So we have another question from Jim Knight from Exane. Please go ahead, sir.
James Knight: Good morning. Couple of questions, firstly could I try to pick a part industrial specialty superb quarter from a different angle, if you take out FX, I guess the year-on-year benefits around 35 million, it clearly comes from all of the four segments, but I wonder if you could just indicate whether the contribution was in line with sales split or whether someone contributed a little bit than others? And secondly I didn’t see anywhere an indicated what Bostik’s top line organic growth loss for the first half, I wonder if you have that figure? Thank you.
Thierry Lemonnier: Wait I’ll for it.
James Knight: Okay.
Thierry Lemonnier: I think you have - you have the revenues for Bostik last year.
James Knight: Okay, but if take…
Thierry Lemonnier: And to the revenue this year, so…
Thierry Le Henaff: Probably in this year documents that we will issue, if we will check that and we will communicate it to you but over that has available either in the pro forma that we have published at the end of the last or in our press release that we will check.
James Knight: Okay, thanks, because there will some currency if I to not I am guess is well.
Thierry Lemonnier: James, can you explain your first question.
James Knight: If you got around 30 million to 35 million if you take out currency year-on-year EBITDA in industrial specialties, I was wondering given the all four elements contributed, did they contribute in line with the sales place or it was there a greater contribution from Kerteh within that 35 million. I am just trying to get a qualitative feel for what would really part of the bridge?
Thierry Lemonnier: I would say is MMA, PMMA was already at a good level last year as we mentioned because we were even anticipated some decrease this year, so let’s say that the most - not just contribution would come from the - MMA, PMMA is still quite good but is not really improving, so the improvement year-on-year is coming from the other street. And I would say couldn’t take is clear that we get that you can make call or - but we have also on the other side recovery of fuel gases and is to a significantly better, so I would say you should not be far by putting this increase on the three business units which mean fuel gas and to take link to the sense if it is your question.
James Knight: Very clear, thank you very much.
Operator: So we have no other question, sir.
Thierry Le Henaff: Okay, so if no question, I would like to wish everybody a very nice summer and thank you for your support and talk to you next time. Bye, bye.